Operator: Good morning. Welcome to Corby Spirit and Wine's Fiscal Year 2026 Q2 Financial Results Conference Call for the period ended December 31, 2026. Joining me on the call this morning are Florence Tresarrieu, President and Chief Executive Officer, and Juan Alonso, Vice President and Chief Financial Officer. Hopefully, you have had the opportunity to review the press release, which was issued yesterday. Before we begin, I would like to inform listeners that information provided on today's call may contain forward-looking statements, which can be subject to risks and uncertainties that could cause actual results to differ materially from those anticipated. Risks and uncertainties about the company's business are more fully discussed in Corby's materials, including annual and interim MD&A filed with the securities regulatory authorities in Canada as required. [Operator Instructions] I would now like to turn the conference over to Ms Tresarrieu. Please go ahead.
Florence Tresarrieu: Thank you very much, and good morning, everyone. Thank you for joining us to review Corby's Spirits and Wine Q2 and first half results. I am very pleased to be here for my first earnings call as the CEO. For those of you who doesn't know me, I'm Florence Tresarrieu, and it's a privilege to lead Corby at this moment of its journey. I bring over 20 years of experience across markets, investor relations and operational strategy, and I was most recently Global Senior Vice President of Investor Relations, Treasury and Cash Performance at Pernod Ricard. Over the past months, I have spent time with our people being on the road, meeting our brands, our partners across the country. And what I've witnessed is an organization with very strong fundamentals, a clear strategy, very passionate people and a proven track record to execute and deliver with discipline and agility. And actually, today's H1 results are the perfect illustrations of what I've seen. This is indeed a very strong first half for Corby, a record-breaking start to the year. We delivered the highest first half revenue in Corby's history with reported revenue of up 12% and organic growth of 13%. Continued market share gains in spirits and the accelerating expansion of our RTD business have been at the forefront of our performance with RTD now representing roughly 1/3 of Corby's top line revenue and being as such, a core pillar of our strategy. These results reflect strong and consistent sales execution with significant share gains across our total portfolio in a volatile and highly competitive market. Performance was further supported by the removal of U.S-origin products on shelves and favorable LCBO order phasing extending into Q2. The breadth and depth of our portfolio continues to differentiate Corby. Despite the impact of the British Columbia strike, we delivered strong shipments and earnings growth in Q2 and across first half. And at a retail, we outperformed the spirits market in value for the 13th consecutive quarter. Earnings growth is slightly inside revenue growth, which is reflecting an RTD-skewed portfolio mix together with some less favorable spirits and channel mix effects. We are reporting a very strong cash generation, which is indeed the backbone of our long-term value creation and attractive capital returns. Our balance sheet is strong, and this is one of our key financial strengths. Our net debt to adjusted EBITDA ratio at 1.1x allows flexibility to invest behind our brands for future growth, reflecting the confidence of the continued dynamism of our business. The Board declared a quarterly dividend of $0.24 per share, an increase of $0.01 or a growth of 4% from the previous quarterly dividend. As of December 31, 2025, Corby delivered a 1-year total shareholder return, TSR of 25%, which is very much a testament to our strong performance and commitment to long-term sustainable value creation for our shareholders. As a nutshell, Corby has the right momentum and it's leveraging its key strategic levers to continue outperforming the market. So let me then briefly frame the market context and explain why Corby model continues to perform so well in an evolving and indeed volatile market. Corby achieved a clear acceleration in market share across all categories in Q2, building on strong and disciplined execution, being, for instance, illustrated by our ability to capture share following the removal of U.S.-origin products from shelves. In the rolling 3 month period ending December 31, while the Canadian spirits market declined 4.4%, Corby outperformed by 6.9 percentage points, delivering 2.5% value growth. Our Wine portfolio performed even more strongly, growing 11.9% against a declining -- slightly declining market of minus 0.7%. As mentioned before, RTD continued to be a standout. The category delivered 27.7% growth representing a 6.5 points out-performance versus the market, which is indeed reinforcing RTD as a strategic growth engine within our portfolio. I've mentioned that before, but it's quite important, RTD represents approximately 1/3 of our net sales and contributed this fiscal half for almost 3/4 of our net sales growth. Corby has consistently outperformed the Canadian market in value for 13 quarters in a row. In Spirits, while the category declined, we delivered a very resilient performance with R12 at 1.9%, representing a 6.2 points out-performance versus the market. Our Wine business also delivered strong growth, up 13.7% for the R12, which was 15.8 points ahead of the market. And again, we see the biggest gain in RTD, delivering 28.1% growth which is 16.5 points above the continuously growing category. Looking closer at spirits performance by category, you can see that we continue to outpace the market across several categories over the 12 months ending December 31, which is showcasing our competitive advantage and the effectiveness of our sales execution. Some highlights include our portfolio growth in the otherwise declining rum and vodka categories, benefiting from the shelf prominence amid restrictions on U.S-origin products in some provinces. We remain the category leader in Irish whiskey and have expanded our footprint in the tequila category with double-digit growth. Although our performance in the blended scotch category was impacted by production challenges, we remain optimistic in the opportunity to gain our fair share back in this category, along with the growing Canadian whiskey category, supported by our J.P. Wiser's NHL partnership. We have a uniquely diverse portfolio across price points for various customer occasions in Spirits, RTD and Wine, and we're leveraging all that with impact. Now let's dive up to discuss the growth strategy. RTD is one of Corby's most important growth engines. Over the last 12 months, our RTD business has accelerated meaningfully with sustained share gains driven by strong innovation and market expansion. Our unique RTD route-to-market strategy continues to deliver with increased penetration and share in both Ontario and Western Canada through focused RTD-dedicated sales execution. At the end of H1, Corby's RTD portfolio delivered 28% value growth over the last 12 months, significantly outpacing the category. Over the last 3 months, we gained share in every single region, reinforcing the natural strength of our RTD brands and the consistency of our execution. Our portfolio is well positioned for continued growth, supported by a robust innovation pipeline with exceptional new listing results in all major provinces set to launch in H2 FY '26. New brands are playing an increasingly important role, allowing us to move quickly into white spaces and capture emerging consumer occasion. In Ontario, for instance, we continue to capitalize on route-to-market modernization, leveraging the breadth and depth of our RTD portfolio to strengthen our presence in grocery and emerging channels where our brands are gaining visibility and relevance. We also continue to actively shape the portfolio to elevate growth through the fastest-growing categories. And as such, we've increased our ownership of ABG to 95%, while exiting non-core brands, SL Beer, SL RTD and Liberty Village Dry Cider, therefore, streamlining the business and sharpening ABG growth profile. I'm not going to walk through the page in detail, but you're already familiar with the Corby strategy. Our priorities remain very much unchanged, and they are gaining share in spirits, accelerating penetration in the fastest-growing category, continuing to grow value ahead of volume while investing efficiently behind the brands, including innovation and finally, actively managing our portfolio of brands. Pace of execution and breadth of opportunity we're seeing across RTD, spirits and channels are accelerating further our momentum. So with that, let me pass you over -- let me pass over to you, Juan.
Juan Alonso: Thank you, Florence, and good morning, everyone. I'm Juan Alonso, Corby's Chief Financial Officer. I'm pleased to walk you through our financial results. Very quickly, before we talk about our financial performance, you're going to notice some mentions of adjusted metrics and organic revenue growth. We believe that these non-IFRS financial measures support a better understanding of our underlying business performance and trends. We provided the detailed explanations for each of those elements in our Q2 FY '26 MD&A, and I invite you to refer to this document for any questions related to it. So let me start with our Q2 results. Corby delivered $66.9 million in revenue, representing plus 9% reported growth and 10% organic growth year-over-year. As Florence said, this performance was supported by the strong momentum in our RTD business expansion and continued market share gains in Spirit. Adjusted earnings from operations reached $13.8 million, up plus 6% versus last year, reflecting strong revenue and diligent cost discipline, but partially offset by the RTD-skewed portfolio mix and channel mix effects on margin. Adjusted earnings per share came in at $0.32 and reported earnings per share at $0.31, reflecting solid growth of plus 8% and 12%, respectively. We also delivered $31.4 million in cash from operating activities in Q2, underscoring the strength of our earnings and working capital discipline. Lastly, in line with our Q2 declaration, the Board approved a quarterly dividend of $0.24 per share, an increase of $0.01 from our previous declaration in Q1. This reflects our confidence in Corby's outlook and our ongoing commitment to shareholder returns. Now let's go to the next slide and delve deeper into our Q2 revenue growth. To reiterate, Corby delivered a strong quarterly revenue of $66.9 million in Q2, representing a 9% increase over Q2 of FY '25. And this growth can be attributed to: first, domestic Case Goods, which accounted for 80% of Corby's Q2 net sales performance, reached $53.4 million, reflecting 11% reported growth and a 12% organic growth. This is highlighted by improved shelf prominence of Corby's Spirits, capitalizing on the removal of U.S-origin products in key provinces. ABG brands grew plus 19% with continued strong momentum on new channel expansion in Ontario and Western Canada. Total Commissions made up 12% of Q2 net sales and reached $7.8 million, a decline of 8%, lapping a strong Q2 last year, where our represented wines portfolio quickly gained traction early on, during the route-to-market modernization in Ontario and provided a strong fuel of shipment pipeline to grocery and convenience store channels. Lastly, export revenue, which contributed 7% to total net sales surged to $4.8 million, an increase of 25%, largely driven by strong shipment performance of J.P. Wiser's Whiskey and Pike Creek to Turkey. Now let's turn our attention to the H1 performance. Coming off a strong Q2 after a record quarterly performance in Q1 in earnings and profitability, H1 FY '26 marked another company record in top line generation. In H1, Corby generated $142.3 million in revenue, a plus 12% reported increase over H1 last year with plus 13% organic growth. This performance, that was achieved in a challenging retail environment set the highest H1 revenue in Corby's history, highlighting the strength of our diversified portfolio and our agility in responding to market shifts. I will further delve into the details in the next slide. Our top line growth was driven by the rapid expansion of our RTD business, now the fastest-growing category in the Canadian alcohol market. While this RTD mix and channel shifts put some pressure on margins, strong cost discipline helped offset those impacts. As a result, adjusted earnings from operations grew 6% year-over-year, though at a moderate pace than revenue. For the bottom line, our adjusted earnings per share was $0.71, with reported earnings per share at $0.67, representing a robust 11% growth in reported earnings and 8% in adjusted earnings. Our cash from operating activities totaled $37 million, a $1.5 million increase year-over-year. This was supported by earnings growth, disciplined management of costs and capital spend. We also strengthened our balance sheet, reducing our net debt to adjusted EBITDA ratio to 1.1x, down from 1.4x at the end of Q1 FY '26. This reflects our strong solvency and financial discipline. Total dividends declared for H1 FY '26 were $0.47 per share, up 4% from H1 last year, reinforcing our commitment to consistent and growing returns for our shareholders. Now let's delve deeper into our year-to-date revenue growth. To recap this record H1 top line performance, Corby delivered a strong growth of 12% year-over-year, totaling $142.3 million, and this growth can be attributed to, first, domestic Case Goods, which accounted for 81% of Corby's H1 net sales performance and reached $114.8 million, reflecting a plus 13% reported growth and 14% organic growth. This is highlighted by improved shelf prominence of Corby Spirits, capitalizing on the removal of U.S-origin products in key provinces. ABG brands grew plus 28% with continued strong momentum on new channel expansion in Ontario and Western Canada. Total Commission made up 11% of H1 net sales and reached $16 million, a slight decline of 1%, lapping a strong H1 last year when our represented wines portfolio quickly gained traction during route-to-market modernization in Ontario and provided a strong fuel of shipment pipeline to grocery and convenience store channels. In addition, H1 earnings growth in Canada benefited from cycling off the LCBO labor strike last year and emphasized by favorable LCBO ordering phasing this year, which is expected to normalize in H2. Lastly, export revenue, which contributed 7% to total net sales surged to $9.7 million, an increase of 38% largely driven by strong shipment performance of Wiser's Whiskey and Pike Creek to Turkey as well as recovery of shipments to the U.K. and U.S. markets. So to summarize our P&L results for H1, Corby recorded the highest H1 revenue in company history with a strong 12% revenue growth, bolstered by the strength of our portfolio, specifically the accelerated RTD portfolio, capturing new channel expansion in Ontario and the Spirits portfolio capturing market share gains in key provinces. Our total operating expenses also increased by 13% at a higher pace to support the continued growth and expansion of our RTD business in addition to strategic investments behind the key strategic brands such as the Wiser's NHL partnership. As a result, Corby delivered a solid H1 adjusted earnings from operations, marking 6% increase versus last year. On a per share basis, our adjusted net earnings was $0.71 and reported net earnings was $0.67, reflecting growth of 8% and 11%, respectively, versus last year. In H1, Corby generated $37 million of cash from operating activities, an increase of $1.5 million from last year, supported by higher net earnings as well as favorable working capital changes, primarily driven by the timing of spend. This strong cash flow allowed Corby to pay robust dividends, increase our stake in ABG to 95% and still reduce debt to $72 million, a $13 million improvement compared to FY '25 after loan repayments. As a result, our net debt to adjusted EBITDA ratio reduced to 1.1x, demonstrating a robust solvency position and reinforces our financial health. Corby has an attractive dividend payout ratio at 57% on a rolling 12-month basis, highlighting the sustainability of company's quarterly dividend. Notably, quarterly dividend payment increased by 4% in Q2 FY '26 compared to both Q1 FY '26 and Q2 FY '25. These actions have contributed to a high dividend yield over recent years at 6.5% at the end of H1, marking a consistent level of return for our shareholders. We are proud of our performance in H1 FY '26, and we remain focused on delivering long-term value for our stakeholders and shareholders. With a strong diversified portfolio, disciplined execution and a clear strategy, Corby is well positioned to continue driving growth and shareholder returns. Before I hand back to Florence, I want to give you a glimpse at what's ahead for Corby. After all you have heard today, you can see that Corby is well positioned to continue outperforming the market in FY '26, even as the environment remains dynamic. Our RTD portfolio remains a major growth engine, and we see significant potential to expand across Canada, led by strong traction from ABG. Our ambition is to continue gaining market share in spirits despite the challenge of a potentially slight market decline. We will remain agile and respond whenever U.S. products are permitted back on shelves. In Ontario, we will continue to capitalize on route-to-market modernization, meeting evolving consumer preferences with agility and breadth. From a financial perspective, we remain focused on protecting margins, driving profitable growth and generating long-term shareholder value. And finally, looking ahead to H2, while we are expecting some normalization in growth after a strong H1, Corby is still expected to deliver a strong full year revenue growth, supported by the continued strength in our Canadian portfolio and continued expansion of our RTD business. Now back to Florence for some closing remarks.
Florence Tresarrieu: Thank you very much, Juan. So as we close our earnings call, I just want to reiterate the key strengths of Corby equity story, which makes it indeed a very strong investment. Starting with the fact that Corby is Canada's largest publicly listed multi-beverage alcohol company with the most diverse portfolio in the market. On top of that, our close partnership with Pernod Ricard gives us strategic advantages and access to global best practices. We have indeed a clear strategy, a very strong execution and a proven track record of outpacing this market in value growth. Our innovation pipeline, marketing strength and dynamic portfolio is driving performance and operational excellence. And finally, as you've seen, we have consistent financials with dynamic revenue, strong cash flow and a strong balance sheet that supports attractive shareholder returns. The results we've shared this morning demonstrate a business that is executing with discipline and agility, gaining share in the categories that matter most and building a strong foundation for sustainable long-term value creation for all stakeholders. Thank you once again for joining us today and for your continued interest in Corby. I very much look forward to continuing our engagement as I take on this role. For now, Juan and I are happy to take any questions.
Operator: [Operator Instructions] And there are no questions at this time. I will turn the call back over to Florence for closing remarks.
Florence Tresarrieu: So I think there is actually a question in that we've seen on the console. So maybe I'm going to read out and then we're going to share the answer with Juan, right? So the question is, can you provide more details on the performance of our RTD portfolio, sorry, for instance, with regards to a change in the route-to-market model in Ontario. Have you adjusted your marketing sales and organization to address the different sales channel? And second, are you deriving benefits from the customer boycott of U.S. products in this category? Or is there any other reason for your out-performance in RTD? And finally, can you detail the relative contribution percentage of RTDs to our net sales? I guess -- so if you don't mind, we're going to share. So maybe I'm going to take some questions and then Juan will answer the other ones. I think maybe the reason why we are gaining so much shares in RTD and then the reason behind our out-performance, maybe I will summarize them in three. I think the first one is the mindset. So we have a very strong team with the right mindset for the RTD products. Innovation is very central to everything that they're doing. So innovation is very strong for spirits. I think it's even stronger for RTD with a different pace. And I think the ability that they have to adjust innovations to consumer trends and market trends is second to none. So this is definitely something which is an explanation behind the out-performance. And then the last one, which is key as well is the route-to-market. So they have a dedicated route-to-market to service the RTD across the country. And again, this is definitely one of the key strengths behind our performance.
Juan Alonso: Yes. Thank you, Florence. I would add as well that we did strengthen this team as well for -- to grab the opportunity to different channels, grocery and convenience. We reinforced the team in the beginning of the fiscal year. And finally, regarding the question of the relative contribution of RTD to our net sales. RTD represented around 72% of our total net sales growth. So almost 3/4 of our net sales growth came from RTD. And today, RTD has a total weight of around 1/3 of Corby's revenue as we initially announced at the moment of the acquisition of ABG. And mainly on the boycott of U.S. product in this category, is there any other reason for your out-performance? So the boycott of U.S. product is definitely supporting a lot of the market share gains in spirit. There is no relation to RTD. RTD is really the opportunity to perform better than our competition, accelerate, taking advantage of the modernization of routes-to-market, expand to other provinces in Canada beyond Ontario, and that explains our great performance on RTD.
Florence Tresarrieu: Maybe I take this opportunity maybe to reiterate something that we've tried to develop in the presentation is the fact that Corby is quite unique in being a multi-beverage company and have a multi-beverage portfolio. So I think the performance across spirits, wines and RTD is outstanding. So RTD is definitely standing out as well. But I guess having the balance is key to our organization, and it's very much at the forefront and at the core of our results today, right. So again, if I want to leave you with one message is, I guess, the fact that we have a very strong portfolio, and we are a multi-beverage company in an evolving and in a volatile market. So that's very key to what we are and very key to our equity story.
Operator: [Operator Instructions] And there are no questions over the phone at this time. I will turn the call back over to Florence.
Florence Tresarrieu: Thank you very much. Thank you all for connecting. Again, I was saying I'm very much looking forward to connecting and meeting many of you, as we continue to get to know each other and then discuss with you the great sense of the company's equity history. So I wish you a very good day. I wish you as well to enjoy our products in a responsible way, of course. And I'm hoping to see you all very soon. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Thank you.